Mark Heine: Apologies for those who are joining us now. We'll just kick off, sorry, we're a bit late. And good afternoon, everyone, and thank you for joining us today for FY '26 annual half year results. I'm Mark Heine, CEO of EROAD. I'm delighted to be introducing Ciara McGuigan, EROAD's new CFO, who commenced at EROAD in September. I'll start by outlining our performance for the half, and Ciara will take you through the financials. We'll then finish with outlook and guidance before opening up for questions. Turning to the key numbers for the half. Free cash flow remains a real strength for EROAD coming at $6.2 million. We've delivered consistent cash generation over multiple periods, thanks to the operational discipline that's been built into the business. Reported revenue was just over $99 million, a 3.3% with steady performance across the installed base and contributions from ongoing rollouts. Annualized recurring revenue increased to over $178 million, up 6.9% or 3% in constant currency. Growth continues to come from higher-value subscriptions and enterprise expansion. Normalized EBIT was $2.5 million, lower than the prior period due to some higher costs and lower R&D capitalization. Ciara will step through these movements in more detail in the finance update. The results show our business remains strong and resilient across its core fundamentals. First, our cash generation continues to be a standout. Free cash flow was over $6 million or almost $17 million on a normalized basis once the one-off 4G upgrade costs are removed. With that program finishing this year, the underlying cash profile becomes much clearer and provides greater visibility in how we allocate our investments. Liquidity remains strong at over $62 million, giving us confidence in the pace and focus of our investment decisions. Second, we've maintained strategic focus on the eRUC passenger opportunity in New Zealand. As the country moves towards universal electronic road user charging, we're preparing the technical, commercial and operational components needed to support a nationwide rollout with clear relevance to emerging global models as well. Third, we are focused on regional market conditions. New growth investment is being directed to Australia and New Zealand, where the near-term return profile is strongest. North America remains important, but slower conditions mean we're managing spend carefully while preserving capability. The impairment of goodwill and other assets in North America of $135 million recorded in the half relates to the previously signaled softer economic conditions, the increased competition, the nonrenewal of a large U.S. customer and our focus on ANZ. And finally, our customer focus and operational capability have continued to improve. Partnerships have been strengthened and boosted by the ramp-up of our Manila office, providing our customers with enhanced responsiveness and support. These improvements are translating directly into outcomes, including the newly inked enterprise agreement with Cleanaway, valued at $5 million ARR once fully deployed. Turning to our sustainable growth across our core markets. Let's start with free cash flow. We delivered 4 halves of sustained reported cash generation. That consistency gives us the flexibility to invest selectively and accelerate where market conditions are most favorable, while also evidencing that management takes a prudent approach to investment. In Australia, our enterprise momentum is driving sustained double-digit annualized recurring revenue growth. Once the new Cleanaway Enterprise deal is fully implemented, ARR in Australia is expected to grow significantly. And finally, the eRUC opportunity presents a global opportunity for EROAD, which we will dig into this opportunity over the next few slides. I'm incredibly excited to be talking about New Zealand's move towards a universal electronic road user charging system and the direction of travel is very, very clear for EROAD. The New Zealand government has committed to transitioning all vehicles, including petrol and light vehicles to eRUC. A series of bills and consultation steps are already scheduled through 2025, with implementation targeted for 2027. EROAD is deeply embedded in the current system, having pioneered eRUC for heavy fleets, and we now facilitate around $946 million in annual RUC collection for the New Zealand government. That experience, combined with our established regulatory relationships and platform capability puts us in a strong position as the country moves to a fully electronic usage-based model. New Zealand is moving early on this transition and the work underway positions us well for what is coming next. What we see in New Zealand is part of a broader shift starting to emerge internationally. As fuel tax revenue declines and EV uptake grows, governments are looking for a more sustainable way to fund their road networks and usage-based charges come to focus in several larger markets. Our priority is to get it right in New Zealand first. As the market moving earliest, it gives us the chance to prove capability at a national scale, while policy conversations elsewhere continue to develop. At the same time, the longer-term opportunity extends beyond New Zealand. New Zealand has 4.7 million vehicles. Australia has around 4x that amount with approximately 20 million vehicles, while the U.S. is around 60x the size of New Zealand, with more than 280 million vehicles. Those markets are actively examining alternatives to fuel in size and the scale involved is significant. This includes the Eastern Transport Coalition mileage usage-based pilots in the United States, which EROAD has participated in, in the past. So while the immediate focus is on New Zealand, our line of sight is global. The preparation underway is intended to ensure we're well positioned to take part in those conversations as they progress. As the New Zealand government works towards design of the future system, we've been preparing so that we're in a position to move quickly once the requirements are confirmed. A key part of that preparation has been testing different ways the service could be delivered, depending on how the government chooses to structure the program. That includes early prototyping of consumer pathways and exploring how the existing EROAD platform might support the scale and simplicity required for light vehicle users. We've also been building a clear view of the commercial considerations, the economics, the potential pricing envelopes and what a high-volume operating model would require. This work ensures any approach we take is both viable and scalable when the program rolls out nationwide. And alongside the core charging model, we're looking at adjacent opportunities that may become relevant as policies develop, such as time of us in concept, tolling and other services that could logically sit next to distance-based charging over time. The intent of all this preparation is to make sure we're technically ready, commercially informed and operationally capable when governments finalize the shape and timing of the program. And New Zealand offers the opportunity to prove capability at a national scale. Doing that well keeps options open in other markets as usage-based models continue to evolve globally. Now on to the regions. New Zealand delivered a stable and disciplined half, with growth across revenue, annualized recurring revenue and ARPU. Annualized recurring revenue increased over 6% year-on-year to $93.2 million, supported by consistent demand from our installed base and continued uptake of higher-value services. Revenue grew almost 5% to over $52 million and EBITDA reached over $35 million, underpinned by strong asset retention at 92%. ARPU lifted at 4.4%, reflecting the mix shift towards higher-value opportunities and the final stage of churn associated with the 4G upgrade program. Importantly, most of the reduction in the period came from fleet resizing rather than actual customer losses. Around 88% of the annualized recurring revenue impact from unit reductions relates to customers adjusting fleet size due to broader economic conditions. These relationships remain in place. A expansion upsell activity across the portfolio more than offset the reduction to give us a net positive annualized recurring revenue position. A quick update on our 4G program. Australia switch is now complete. And across ANZ, as at the half year, 87% of all units out there were EROAD and were 4G compatible. And as of today, this has now reached approximately 90% being 4G compatible. The remaining work is in New Zealand, where one is the schedule to switch off 3G in December of this year. The final activity is planned for the second half and remains fully funded from operating cash flow with no change to total programming costs. With completion now firmly on site, we have been forced to retire this site going forward. North America had a soft half and our numbers show that. Annualized recurring revenue reduced to just under $70 million, down almost 6% on a constant currency basis year-on-year. This was driven by normal churn that wasn't offset by much new growth in the period. Customer decisions have slowed and many fleets that have taken on a more cautious stance on new investment given tariffs, higher operating costs and a broader uncertainty in the freight sector. Revenue was $39 million, down 1.5% and EBITDA was $9 million. ARPU increased 4.1% as the mix continued towards higher-value contracts with lower value units coming out of the base. As previously signaled, North America will be impacted in Q4 by the nonrenewal of a large customer around 10,000 connections. However, North America remains a vital region for EROAD. Our focus is on protecting the core by supporting our customer base, maintaining capability and aligning spend conditions to the region is ready to scale when momentum returns. And finally, Australia. Australia delivered a strong first half with sustained growth across revenue, ARR and EBITDA. Annualized recurring revenue increased by 30% year-on-year to over $15 million, driven by continued enterprise expansion and high adoption of safety and compliance products. Revenue rose 23%, while EBITDA increased to $3.7 million. Retention sits very high at 95.5% and ARPU grew 8.3%, supported by product mix improvements and pricing actions. The standout development of this period was the recently announced Cleanaway Enterprise partnership, covering a national fleet of more than 3,000 heavy vehicles. This Cleanaway partnership is a significant milestone for EROAD and the Australian market. It's a 5-year agreement covering the full safety and vehicle monitoring platform across Cleanaway's national heavy vehicle fleet. The solution includes AI cameras with dual connections, fatigue and rollover detection, critical events monitoring and satellite connectivity for remote options and operations. Deployment has already begun, with full rollout expected by November 2026. The agreement represents $5 million of annualized recurring revenue in Australian dollars with fixed annual escalators over the term. And during this tendering, Cleanaway conducted a comprehensive valuation process. The partnership strengthens our position in the Australian enterprise segment and reinforces the strategic relevance of the investment we've made in product and operational capability. Over the last 3 years, EROAD has secured renewals or wins with a number of marquee Australian businesses, including Boral, Woolworths, Programmed, Ventia, Downer and now Cleanaway. This underscores how significant the Australian market is becoming, and EROAD is committed to focusing on further growth here. I'll pause and hand over to Ciara to take you through the financials for the half.
Ciara McGuigan: Great. Thank you, Mark, and good afternoon, everyone. From a financial perspective, we have continued to execute on the 4 pillars of our financial strategy. As a reminder, these are position the company to generate cash, maintain operating leverage in the cost base, invest in innovation to drive growth and maintain a strong financial position. As Mark mentioned, first half revenue of $99.1 million is growth year-on-year of 3.3%. This was driven by annual price increases and an enterprise rollout over the last 12 months, with a strong performance in our SaaS business, where annual recurring revenue also grew by over 5.3%. This underscores the resilience in a challenging environment and the meaningful value that we are offering to customers. Following the recent Cleanaway announcement, the rollout is underway. We began procuring inventory over the previous months and expect to have approximately $2 million in inventory and hardware built up by year-end. About 1/3 of the units are expected to be deployed by year-end, contributing $1.8 million in revenue for the period. The remaining units are scheduled for rollout by November 2026. You will see that we reported a loss in the financial statement of $133.9 million. This was entirely driven by an impairment of the North American asset of $134.7 million. If we remove this plus the 4G hardware upgrade program, our normalized EBIT becomes $2.5 million, and this compares to $4.7 million in the same -- in the half last year. EBIT was impacted by lower capitalization of R&D. This will normalize or is normalizing as we exit the year and the accelerated amortization of a large customer termination in North America. On to the next slide, operating costs. So the chart on the left illustrates that operating costs were 71% of revenue. These include costs as we ramp up our investment in the Philippines office. Last year also included a one-off benefit to transaction revenue due to a change in the GST treatment of transaction fee income. If we exclude these one-off items, operating margins would be broadly in line with last year. Remembering, of course, that by building our engineering and customer support teams in Manila, we are growing our capability at a lower price point to support operating leverage. As a technology business, where transition and change are to be expected, it goes without saying that we will continue to relentlessly focus on cost discipline. Operational efficiency. The chart on the left, our cost to acquire remains stable as a percentage of revenue. Capitalized cost to acquire were lower at the start of this year, which we expect to increase, which will reflect the commissions relating to the closing of the Cleanaway deal in Australia. The chart on the right, our cost to support our customers has increased as a percentage of revenue as we have increased our service and support costs slightly to build capacity to support large enterprise rollouts. I think we skipped a slide of research. Now turning to free cash flow. We are pleased to have generated the significant free cash flow to the firm of $6.2 million in the period, which illustrates the strength of our core business, as Mark referred to. This is the fourth consecutive reporting period that we've delivered positive free cash flow. Once we remove the temporary impact of the 4G upgrade program, the company generated $16.7 million in normalized free cash flow, which you can see illustrated on the chart. This normalization shows the true underlying performance of our business. As the 4G upgrade program is completed by the end of this calendar year, and we continue to deliver on our strategy, we expect to see free cash flow continue to accelerate. There was an inventory buildup in the first half of the year to support our 4G upgrade program, which we expect to normalize in the second half as the program comes to a close. Subsequent to balance date, inventory was purchased to support the rollout of the Cleanaway contract, which is now underway. We also saw the benefit of $2.8 million related to the rollout of our annual billing program in Australia and New Zealand and a large North American account. We continue to see the benefit of this shift in the second half of the year. So turning to our research and development spend. In the first half of FY '26, our R&D expenditure totaled $19 million, which represents 19% of revenue. This is broadly consistent with last year, as you can see on the chart. Our R&D efforts have been more heavily focused on platform scaling, which is not capitalizable. We expect our future R&D investment to be more balanced towards innovation and growth initiatives, which will be capitalizable with a specific call out to work completed to win the Cleanaway deal. We believe this type of customer-led innovation is low risk and generates long-term value as we deploy these features across our customer base. Liquidity. We have maintained our disciplined approach to debt, repaying $2.5 million of outstanding facilities with cash generated from operations, reinforcing our strong balance sheet. Our liquidity remains significant at $62.3 million, providing a high degree of optionality. In addition, we're progressing plans to extend our facilities to ensure we are optimally positioned to execute on forthcoming growth opportunities. And with that, Mark, I'll hand back to you.
Mark Heine: Thank you, Ciara. I'll now turn to the outlook and guidance for the rest of the year. Our outlook for the second half of the year is consistent with the updated guidance provided to the market in October as part of the strategic refocus. New growth investments being directed towards Australia and New Zealand, where we see the strongest near-term return profile. North America remains an important market, but the U.S. environment continues to be slow with cautious customer investment. Our approach is retain the base, maintain capability and align spend to the pace of the market. For FY '26, we are reaffirming the guidance we set in October. Revenue of $197 million to $203 million, ARR of $175 million to $183 million and a free cash flow yield of between 5% and 8% of revenue, normalized for the temporary impact of the 4G upgrade program. And finally, we plan to hold Investor Day in March to take you through our product road map and our long-term strategic and financial targets. Further details will follow closer to the time. And with that, we'll now open to any questions.
Jason Kepecs: Thanks. The queue is open for questions. The first question is noting the reduction in units in the U.S., how many of those remaining units are part of the core strategy?
Mark Heine: So if you look at the U.S. unit base that we have, about 40% of them are cold chain customer units. So a good chunk of it is. The rest are in other verticals, including transport and also ones who are particularly focused on health and safety. EROAD has a really strong product suite in health and safety. And so we're really confident that we can focus on retaining those other customers as well. If you're looking forward, in the U.S., there's over 700,000 cold chain trailers in that market and of which only half of them have any technology in them to date, which means that it provides a great greenfield opportunity for EROAD to grow into that space as economic conditions rebound in that market.
Jason Kepecs: Second part to that question is there was a slight reduction in the unit count in New Zealand. How much of that was due to economic factors? And how much of that was due to the 4G hardware upgrade?
Mark Heine: We believe a big chunk of that. And in fact, I think we mentioned over 80% was linked to customers reducing the size of their fleet as opposed to leaving EROAD entirety. And that suggests it's largely driven by economic conditions. New Zealand has had a rather challenging economic period over the last 3 years, which impacts particularly the freight sector. And so we are seeing customers park vehicles up, but we expect as economic conditions improve, those customers who have largely stayed with us will add additional units into their fleets.
Jason Kepecs: And a question about the free cash flow, strong result at $16.7 million of free cash flow normalized for the half. The guidance suggests a midpoint of $13 million. But wanting to understand what that might mean for the second half of the year and also how to think about the trend for FY '27 in terms of whether that will be a year to harvest the free cash flow or to reinvest in the eRUC opportunity?
Ciara McGuigan: So yes, I would agree with all of those points that was a highlight. And the guidance, your point about guidance is correct where you see it sitting broadly. There's obviously timing shifts between the 2 halves. We've got some big inventory purchases and then cash goes out in the different halves. So there is an element of reset between the 2 halves. In regards to the point to FY '27, we'll be obviously talking about that more towards the end of the financial year. We're going through quite a bit of planning, but our intention is certainly to be investing to leverage the eRUC opportunity, and that's where we land at the moment.
Jason Kepecs: There's a lot of questions in the queue about the eRUC opportunity. I'm going to list them out, and we'll address them all at once. On the eRUC opportunity, questions about the size of the opportunity, how much service revenue is up for grabs, what the operating margins might be versus fleet management margins, what the revenue model might be? Was it a fixed fee or a percentage of the RUC collected? How capital intensive the opportunity might be? Whether it's free cash flow positive from year 1 and what the potential opportunity is in Australia following this rollout or deployment in New Zealand?
Mark Heine: Great. Thank you, Jason. So looking through sequentially. So first, the size of the opportunity. In New Zealand right now, EROAD can service about 1 million vehicles using eRUC. Of that, it's about 200,000 heavy vehicles, and we have a substantial number of them already. And there's about 800,000 EVs and diesel vehicles already need to pay RUC in some form. Some have EROAD technology in them, but a lot of them are passenger vehicles. So right now, we're looking at what sort of passenger consumer-focused applications we can launch for them to really target that part of the market. In addition to those 1 million vehicles, there's an additional 3.5 million to about 3.7 million vehicles, which are petrol. And the government has indicated they want to move all those petrol vehicles starting in 2027 over to eRUC. So we're absolutely focused on winning a substantial part of that share of the market when it comes online. In terms of operating margins and revenue model, those are the things we're working through right now. EROAD is looking at whether we go direct or we work with partners across a range of sectors, including telco, insurance, gen trailers and the like, there's a whole bunch of opportunities for us around how we service that segment. And as part of that, we'll work through what the financial model could look like. And as we indicated in the past, we are looking in March to provide an investor update to go into that in a bit more detail as we have a bit more certainty around what that model looks like. I'll probably reserve for March also the free cash flow impact and what it would mean from year 1. But as you've seen historically, over the last 4 quarters -- 4 halves, sorry, we've provided reported free cash flow positive half, and we're going to continue to be focused on making sure that whatever we invest here that's going to have a strong return for our shareholders in the short to medium term. And turning to the Australian opportunity. So the Treasurer in Australia has noted that this is an area that they clearly need to get into. There's lots of pressures from the states, in particular, New South Wales, who indicated they want some form of road charging in the market by 2027 to help sort of fund their infrastructure challenges. And Victoria likewise are key to do something, too. So we expect movement over the next year or 2 in the Australian market to really unlock the eRUC opportunity there. More broadly, we are aware of RUC being rolled out in Hawaii recently. There are other states in the U.S. looking at it too. And EROAD also participating in past, and we've been invited back around looking at some pilots on the Eastern corridor in the U.S. around how eRUC could be used to fund road up there. So there's no shortage of opportunities, but we're focused on doing New Zealand first really, really well. We'll come to the market, hopefully in March with a bit more detail around what they will look like from a cost and revenue perspective. But we are continuing to watch this space very carefully and explore the opportunities that presents.
Jason Kepecs: There's a question about the current pipeline that's in place following the landing of the Cleanaway deal. Was that in your pipeline? And what remains?
Mark Heine: Sure. So yes, Cleanaway was in the pipeline. You may recall investors that at the beginning of the year, we said there are 5 enterprise customers in the pipeline, 3 in North America and 2 in Australia. Cleanaway was one. There's another Australian customer that has rather been a big bang, they are more of a customer who's got a large subcontractor fleet that we're working our way through over time. In North America, the other 3 opportunities we've deferred into future years. Just with the economic conditions we're seeing there now, they're quite challenged and it's sort of deferring buying decisions. On top of that, though, we are still exploring other pipeline opportunities. In New Zealand, with the recent all-out government win EROAD's had, we see a number of government fleets really interested in the EROAD solution in this market. And also in Australia, given the opportunity in that market and the size of it, it also -- we don't particularly have very strong competitors, well-resourced competitors in the Australian market. We're seeing more and more customers or potential customers come to us more on that sort of enterprise level between $100,000 and $1 million as opposed to something in that large enterprise, which is Cleanaway, which is above obviously $1 million and a $5 million ARR opportunity.
Jason Kepecs: And the customer that didn't renew in the U.S., wondering when that phases off.
Mark Heine: So we're working with the customer at the moment around the transition planning. We don't have a definitive date yet, but we expect to happen before the end of the financial year.
Jason Kepecs: And on the U.S. business, would you be looking to grow that going forward at what rate? Who is expected to lead that? And what will the cost allocation generally look like?
Mark Heine: So start with the first question in terms of -- sorry, Jason, say the first part of the question again?
Jason Kepecs: Is it -- what kind of growth are you expecting out of that business going forward and the cost allocation and who's going to be leading that business?
Mark Heine: Sure. So in terms of growth expectations, we expect the rollout of this customer, revenue will be backwards both this year and probably into FY '27 as well. In the medium term, we're looking at growth around 3% and greater than that. We expect it to pick up over time as the economy rebounds back. We'll certainly be focusing though on the cold chain opportunity, which should have a strong growth opportunity and ideally pushing towards low double digits or high single-digit growth in '28 and '29. In terms of who will lead it, right now, we are kicking off an Executive General Manager search for the U.S. market around helping to drive sales and marketing with a particular focus, obviously, on the cold chain experience very key here, too.
Jason Kepecs: A question on the cold chain market. How much of the opportunity exists in New Zealand? And how much has been captured and same in the Australian market?
Mark Heine: So we believe there's about 1 million cold chain trailers in the 3 markets we operate in. So about 300,000 dispersed between Australia and New Zealand, of which between 40 -- 20,000 to 40,000 are based in New Zealand based on type of truck we're talking about. There's relatively low penetration in the cold chain trailer space in New Zealand. It's not one that's particularly been a strong adopter of technology. So we believe we can target existing customers. Indeed, we recently announced or internally at the very least, we won 2 cold chain trailer customers in New Zealand recently who were already existing customers with the front of care part of our business. In Australia, we see greater growth there. Woolworths is one of our cold chain customers in that market, and we're going to be looking to see who else we can leverage from around the cold chain opportunity given it's a very hot continent over there.
Jason Kepecs: Great. And final question. What proportion of your customers are now on upfront billing? And what is your target in the future?
Ciara McGuigan: So currently, we have about 5% of our customer base on annual bill, and that brings in just under 10% of our revenue. Our ambition is still to go for a strong penetration of annual bill. We won't hit the 40% in FY '26, but we are still very front and center for us.
Jason Kepecs: Great. That's it for the questions.
Mark Heine: Thank you, Jason. And I just want to close by saying, as you can see, we're disciplined in how we're allocating capital. We're focused [Audio Gap] market showing the strongest returns, and we're preparing well for the structural opportunities ahead in eRUC. Thank you, and have a great rest of your day.